Operator: Good afternoon, ladies and gentlemen, and welcome to AAR's Fiscal Year 2017 Second Quarter Earnings Call. We are joined today by David Storch, Chairman, President and Chief Executive Officer; and Tim Romenesko, Vice Chairman and Chief Financial Officer. Before we begin, I'd like to remind you that comments made during the call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 as noted in our news release and the Risk Factors section of the company's Form 10-K for the fiscal year ended May 31, 2016. In providing forward-looking statements, the company assumes no obligation to provide updates to reflect future circumstances or anticipated or unanticipated events. At this time, I'd like to turn the call over to AAR's Chairman, President, and Chief Executive Officer, Mr. David Storch.
David Storch: Thank you very much and good afternoon, and thank you for joining us to discuss our second quarter 2017 results. Let me begin by just saying that John Holmes is not here with us in Chicago today. He is out on assignment, trying to make us some money. So, we’ll try to answer questions related to his area more specifically. Before we begin the recap of the quarter, I’d like to say how proud we are to have been awarded the Worldwide Aviation Support Services Contract by the U.S. State Department. We are very pleased that the GAO found no merit to the award protest filed by DynCorp and that stands by the State Departments decision to award AAR the contract. We do believe and we see where DynCorp will be fighting some more on this contract. We feel at this stage it is, as we have along the road, fairly frivolous but we will fight them every way along the way and have a lot of confidence in the State Department’s decision and a lot of confidence in our ability to bring value to the State Department. Now the GAO decision clears the path now for AAR to assume operations and in the coming days we will work with the Department of State to establish a transition plan for INL/A. While we do not have more to share at this point, we expect to be in a position to provide further details of the transition timing, as well as guidance during our next call. Now back to Q2 results. We had another solid quarter as diluted earnings per share from continuing operations increased 35% from $0.26 last year to $0.35 in the current period. Although revenue was down 1.8% or $7.7 million for the quarter as a result of two significant item, one is the KC10 wind down, which we discussed before and secondly to drive more profitability to our MRO operations, we are transitioning our Lake Charles facility from a comprehensive MRO provider to a more limited operation providing principally only painting services. As we continue to expand our MRO foot print early this month, we had our grand opening for Rockford, which is our sixth MRO constructed and designed to allow us to maintain every commercial aircraft up to and including the A380. For those of you not familiar, Rockford is about a 90 minute drive from downtown Chicago, it’s accessible to a very large labor pool and we’re very excited to have this facility here in the state of Illinois. The facility was funded largely by the state and Federal Government and from local bankers and Rockford kicked in as well. We have very favorable lease agreement and we’re very excited to move into the facility and start doing work for new customers. Overall our Aviation Services business have continued to perform well and we captured several important contracts during the quarter. For example, we signed a five-year agreement valued at $125 million to provide power by the hour, component inventory management repair services to South African Airways Technical or SAAT. The agreement with SAAT represents a significant expansion or AAR in Africa and this win was largely due to the effort of our new President of AAR Africa, Cheryle Jackson, who has been working at the company since 2010 and President of AAR Africa in the last year and this is a very meaningful win for the company. The company has a solidified position in Africa last few years, including signing its first power by the hour component inventory management and repair services contract in 2014 with Kenya Airways to support their fleet of 737s. We also entered into a long term contract with New Zealand, Air New Zealand to provide nose-to-tail cost for flight hour notable inventory support covering a wide range of parts on 15 for their 777 fleet, which is – they have 15 777s that they operate. This contract represents AAR’s first power-by-the-hour agreement solely focused on the 777 aircraft and complements our other programs in the Asia-Pacific region. This additional contract also brings our total number of Aircraft under management to over 1300 aircraft. We signaled before we’ve made a significant investment in the BD capability around soliciting for more of this type of work and we expect to be more successful with programs as the year materializes. During the quarter, we also expanded our distribution relationship with Eaton to include certain products manufactured by its Aerospace Group’s fuel and motion control systems division and now includes refueling sub-systems, fuel pumps, door and landing gear actuators, secondary flight control systems, and piece part sub-assemblies. Overall, I’m very pleased with our progress during this period. The INL/A award is very meaningful and we look forward to working closely with the Department of State to improve their operating efficiencies as we have done consistently for other government agencies and their alliance around the world. I’ll now turn the call over to Tim to discuss the financials for the period.
Tim Romenesko: Thanks, David. I'll discuss our second quarter financial performance in a bit more detail. As David indicated, we had a good second quarter with earnings per share of $0.35 compared to $0.26 in the prior year, which was a 35% increase. Our sales were down slightly as David mentioned due to the KC10 and Lake Charles transitions. Our Expeditionary services business experienced increased revenues of $5.2 million or 7.2% versus prior year, and net income was up by $4.1 million in the quarter. Gross profit in the Aviation Services segment decreased $2.2 million or 3.8%, driven by the lower sales volume and the KC10 program wind down. Gross profit in Expeditionary Services segment increased $9.3 million with improved profitability across both businesses. SG&A expenses in the quarter increased $3.2 million, reflecting increased investments in business development activities. Interest expense for the quarter was $1.1 million, compared to $1.5 million previously in the previous period, primarily as a result of retirement of our remaining convertible notes. CapEx in the quarter was $9.5 million much of that around technology investments across the company, depreciation and amortization was $14.3 million. During the quarter, we paid dividends of $2.6 million or $0.075 a share and the average diluted share count for the quarter was 34.1 million, compared to 34.6 million in the second quarter last year. As of November 30, we had $67.9 million available under our Board authorized share repurchase plan. And during the quarter, we reduced our net debt by $3.4 million, compared to the first quarter, while continuing to make investments in working capital to fund the sequential sales growth and also invest in assets to support our new programs. Finally, we entered into an amendment to our revolving credit agreement, which extended the maturity of this agreement to November 2021 and modified certain provisions including the elimination of the material adverse change covenant. So, now I’ll turn the call back over to David for final comments.
David Storch: Thanks Tim, and if I may, just reflecting back on the period and where the company is today and where we are headed, I’m very pleased with our ability to expand our geographic footprint and you saw some of those as evidenced in the contracts we have recently secured. I’m very pleased with the product range. We've gone ahead and expanded the product category, the product types of inventory that we’re selling to our customers and I’m also pleased with the range of customers and the INL/A contract is a significant move for us and to the Department of State and we’re just coming out of the period and feeling really good and entering our second half with a lot of momentum. So with that, let me open it up for any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Larry Solow of CJS Securities.
Larry Solow: Good afternoon. David you sound, obviously pretty positive taking someone to doing pretty well, just curious on the KC10, is that wind down occurring any faster than you thought or is that sort of in line with your thinking?
David Storch: No, it is pretty much in line with what we thought. I mean last year was kind of - so what we communicated after we lost the contract with an average of what the business has produced over the prior three-year period and then we recently kind of signaled what it’s performed over the last year and last year was actually one of the stronger year's that we’ve seen in some time. So when you do comparisons year-over-year, there is obviously a negative comparison. So, it will continue to wind down in Q3 and there will be some minor tail in Q4, but very insignificant.
Larry Solow: Okay. And then just on the Lake Charles case too, I think the shift out just to the painting is, you know you told it would have several quarters, I’m supposed that piece has never actually turned profitable, so maybe it is just an impact on revenue, but not on things like that.
David Storch: Yes, that’s the way to look at it Larry. So, we took our actions, we have always struggled with profitability there and we just decided once we were able to come online in Rockford as there was no reason to continue chasing that business the way we had been. So, we feel good about that change from earnings efficiency standpoint.
Larry Solow: Got it. And just on the fully expected not to be able to comment too much on the INL contract, but it sounds like you expect maybe DynCorp is not done yet in terms of protesting or appealing or may not be that easy, you know so we may not know for a little bit on…
David Storch: No, no, no. Actually let’s, just to clarify that. So the State Department awarded as the contract back on September 1. The GAO reviewed and DynCorp probably filed the protest. That was fully expected. The GAO considered their protest and denied the protest, which in essence starts the process between ourselves and the State. Now at the same time they have further DynCorp can now go to the, what’s it called, the Court of Claims or something like that. Federal court of claims to pursue their claim, but obviously Larry listen, this is an important contract for DynCorp, it’s important from a standpoint of their insolvency from all appearances, and you know they’re going to keep fighting and they’re going to fight until they can't, but I think it’s been pretty clear that the customers made their selection, the GAO and has gone ahead and upheld the customers selection. We feel very confident that our solution set is unique and superior to anything and anybody else can offer. We were able to blend in best practices from across our network of things that we are doing as a company and I think the State Department saw a value and the GAO basically affirmed that. So Dyn is going to continue I believe down a frivolous path and we are fully prepared to defend our position and the work we’ve done and look forward in supporting the State in the way that the State, we believe the state will be very satisfied with their selection when they reflect that a few us through years down the path.
Larry Solow: Got it. Great. And just lastly, just on expeditionary services outside of that contract, a second consecutive obviously bouncing off to the bottom and far below where it was a few years ago, but nice little improvement if you look sequentially over the last few quarters, is that being driven by it sounds like both segments are improving a little bit, I guess the falcon Islands contract is ramped up, any thoughts on that and on the mobility side would be great, thanks.
David Storch: Yes, so the mobility business has a little bit of momentum. The airlift business is doing a good job watching our expenses and we created and we share with us while back ago trading operations down there. We've had some success down there with being able to move assets and we’re competing for new positions and we feel pretty good and team is very excited with the win of the INL/A contract as well.
Larry Solow: Got you. Great thanks. Appreciate it.
David Storch: Yes.
Operator: Thank you. [Operator Instructions] Our next question comes from Shannon Burke of Gabelli and Co.
Shannon Burke: Hi good evening.
David Storch: Hi Shannon.
Shannon Burke: So, just on the Aviation Services decline, it is a touch on Larry's question, how quickly do you expect the decline and the wind down in the KC10 to be offset by new program gains? I know you called that out in the press release, but will it start to pick up?
David Storch: I would say by the fourth quarter and first quarter you will start seeing the gains from programs offset the losses from KC10 and then once we start the revenue stream from the INL/A we will be right there with whatever sales declines we have from the KC10.
Shannon Burke: Right, right. Okay. Thank you for that. And then is there any progress on announcement for a Rockford facility tenant or is that still expected to happen in December.
David Storch: Yes. We are working very hard. December probably at this stage probably not. We've had some drop in work.
Shannon Burke: Okay.
David Storch: We performed some maintenance work for a couple of customers. We are in discussion with a few different carriers. We maintain confidence. We don't start paying rent until we have a base load customer. So, we are out there aggressively talking with people. We have hired our first 30 group of mechanics, and we are in the process of interviewing more and we are hoping that we can be up to work as early as the middle of January, may be February with some business. That’s what we are hoping for at this stage.
Shannon Burke: Okay. And then that would convert into revenue pretty quickly than I’m assuming once again?
David Storch: Yes.
Shannon Burke: Okay. And then just on the Expeditionary Services segment with the Trump administration coming in, he is really focused on reducing cost and watching spending in the DOD budget, have you seen any activity from potential customers or what is your viewpoint because this obviously would be a great benefit to AAR.
David Storch: So my view is that we offer alternative solutions for the government and typically our solutions are lower cost in nature and we’re fairly optimistic that as the needs continue to grow and the pressure comes to contain cost that we’re in a pretty good position. So, it’s a little hard to predict precisely how the behavior will unfold, come January 20, but we think we’re in a good position to benefit at least from the signals that we’re seeing so far.
Shannon Burke: Okay. Great, thank you so much.
David Storch: Thank you, Shannon.
Operator: Speakers I’m showing no further questions at this time. I’ll turn the call back over to you Mr. Storch for closing comments.
David Storch: Well thank you very much and I’d like to wish everybody a very happy holiday and a New Year filled with peace, happiness, and a dose of prosperity. Be well everybody. Take care.
Operator: Ladies and gentlemen this concludes today's conference. Thank you for your participation. You may all disconnect and have a wonderful day.